Operator: Good day, everyone, and welcome to the Progress Software Corporation Q3 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Brian Flanagan, Director of Treasury and Investor Relations. Please go ahead, sir.
Brian Flanagan: Thank you, Kelly. Good afternoon, everyone, and thanks for joining us for Progress Software's Fiscal Third Quarter 2013 Earnings Call. With me today is Phil Pead, President and Chief Executive Officer; and Chris Perkins, our Chief Financial Officer. Before we get started, I'd like to remind you that during this call, we may discuss our outlook for future financial and operating performance, corporate strategies, product plans, cost initiatives or other information that might be considered forward-looking. This forward-looking information represents Progress Software's outlook and guidance, only as of today, and is subject to risks and uncertainties. Please review our Safe Harbor statement regarding this information, which is available both in today's press release, as well as in the Investor Relations section of our website at progress.com. Progress Software assumes no obligation to update the forward-looking statements included in this call, whether as a result of new developments or otherwise. Additionally, on this call, we may refer to certain non-GAAP financial measures, such as operating margin and diluted earnings per share from continuing operations. You can find the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP numbers in our earnings release issued today. Today, we published our financial press release on our website and provided the information to the SEC in an 8-K filing. These documents contain the full details of our financial results for the fiscal third quarter 2013, and I recommend you reference these documents for specific details. Today's conference call will be recorded in its entirety and will be available via replay on our website in the Investor Relations section. With that, I'll now turn it over to Phil.
Philip M. Pead: Thank you, Brian, and good afternoon, everyone. Thank you for attending our third quarter earnings call. I would like to start by reiterating that our objectives for fiscal year 2013 were to improve the efficiency of our company and to build a foundation for future growth. We recently concluded our internal project that reviewed, substantially, all expense areas within our company. This was a great team effort across all lines of business. Some of the highlights included an expansive review of our entire organization and spans of control to ensure that we have the appropriate go-to-market strategies in our sales organization, as well as utilization of benchmarking measures to assess our G&A spend. We also made great strides in reducing stranded cost of facilities and other administrative areas that existed after our divestiture of non-core product lines. The changes we have made as a result of this significant effort have enabled us to achieve our operating margin objectives and have made our company more efficient. Even though our internal project has ended, this is a dynamic process. We will operate under key performance indicators and ensure that the metrics we have established are adhered to. This project was also about making our company stronger in the long run and giving greater focus to the kind of investments we need to make to support our future growth objectives. I am very proud of the efforts of everyone at Progress who is involved in this project. Turning to our foundation for growth. While making the changes necessary to ensure that our company operates efficiently is critical to our profitability, we must also focus on driving top line growth. During fiscal year '13, we began to execute on our previously stated strategic direction to become a leading cloud-based Platform-as-a-Service technology company. Cloud computing is a disruptive technology. The notion of serving up applications that can be accessed through a browser or mobile device and to be able to pay for what you use is very compelling and provides Progress with a wonderful opportunity to compete in this new technology paradigm. While we're seeing rapid growth in the deployment of cloud applications, we also recognize that there is still a very large market for on-premise applications and that we will be living in this hybrid world for a very long time. This hybrid world is one where we see unique advantages for Progress. More specifically, if application developers can build and deploy both on-premise and cloud applications on the same platform, without being restricted to a specific cloud or device, it not only significantly increases their productivity and speed to market, it also gives them enormous freedom to take advantage of a wide array of market opportunities. Progress' unique position will allow us to continue to support and preserve our on-premise business while, at the same time, also capitalize on the future market growth that we expect will begin transitioning to a subscription-based model. We recently announced Progress Pacific to offer just this capability. We acquired Rollbase to offer a browser-based, point-and-click application development platform, to build applications that are unrestricted by cloud or device. There are 2 major attributes with our announcement of Progress Pacific that are important to recognize. The first is that the release of Pacific continues Progress' tradition of offering a productivity platform versus a control language platform where developers are required to code line by line. Time-to-market is intensely competitive. And today, it is untenable for application developers to take several years to build and deploy a solution. Developers who use Pacific will be able to build and deploy in fractions of that time, and we will be able to test the viability of their -- and we'll be able to test the viability of their solution in the early stages of development. This gives the application developers using Progress Pacific a significant competitive advantage over control language developers. A second attribute is that Pacific answers the question regarding the resource constraints associated with OpenEdge ABL. ABL is an incredible software language that enables developers to rapidly build their applications. However, over the years, it has become less popular and has been an impediment for Progress to attract new developers. With the Pacific platform, developers can now build new applications, or extend existing OpenEdge applications, using Rollbase and/or use JavaScript and/or use ABL. This now enables the several million JavaScript developers to take advantage of the Progress Pacific platform. In future releases, the Pacific platform will generate ABL code for those developers who want to take advantage of the power of ABL, but are unfamiliar with the technology. In other words, we have created a much more flexible productivity environment for application developers, without being restricted to their knowledge of ABL. We've also significantly enhanced our OpenEdge on-premise platform, with more new functionality released over the last 12 months than in the last 5 years, including the integration of business logic and workflow, and we will offer the same for cloud applications. Lastly, we are the world leader in data connectivity. Access to data is becoming more and more critical, and more and more difficult. With the explosion of cloud apps and hybrid on-premise environments, together with huge amounts of unstructured, social network data, it is getting harder to build connections to access this information. Progress DataDirect and Progress DataDirect Cloud make it easy for developers to integrate data access into their applications. The combination of rich functionality for both cloud and on-premise computing has excited our existing customers and partners, and some of the organic growth we are seeing in our quarterly results is as a result of our partners and customers modernizing their existing on-premise applications in anticipation of adopting our new technology and functionality. We're also very focused on driving top line growth through the acquisition of new customers. Since our acquisition of Rollbase and the announcement of the Pacific platform, we have seen solid growth in new downloads of our software. It is early yet, but we're encouraged by this level of interest. While these downloads represent free trials, it will be important for us to convert these trial users into subscription customers. Our target market is large. Progress continues, today, to be focused on the small- and medium-sized business market. A large number of the applications that have been built using our platform are focused on micro markets, where large software companies are absent, because the market for them is too small to positively impact their growth. This provides a great opportunity for Progress and our partners to take advantage of these micro markets. Our Pacific platform will enable us to broaden our customer base by allowing existing and new customers to access multiple solutions from a single platform. This means that all customers accessing their particular solution, whether it be OpenEdge, DataDirect, Corticon or Rollbase, will see the other interconnected solutions that Progress offers. We expect this to lead to strong cross-selling opportunities rather than a single solution focus. In fiscal year '14, a key driver of our foundation for growth will be broadening our customer base through these cross-selling opportunities. The reaction from our customers and partners to our new strategic direction has been nothing short of amazing. An example of the early adoption we're seeing with Progress Pacific is major European retailer, Macintosh Retail Group, which is an existing OpenEdge customer. Macintosh retails more than 1,000 stores, are well-known in the Netherlands, the U.K. and Belgium, and they are using Pacific for a major project that will enable them to provide customers with a wider range of delivery options, online or in stores. Macintosh is a terrific example of our unique positioning in the market. As an OpenEdge customer, they will be using our cloud platform to extend their existing on-premise applications. I'm very pleased with our quarter's performance and our performance year-to-date. We have accomplished a great deal over the last 9 months and I'm very proud of all the Progress employees who've have contributed so much to the renewed energy, innovation and excitement that has resulted in our strong performance. We continue to have plenty to do and executing on our strategy will require us to make meaningful investments in our development, sales and web marketing capabilities, including search engine recognition and the ability to efficiently transact orders through our website. The way in which solutions are being purchased is changing. More than 50% of those seeking new solutions have already decided on the solution they want prior to contacting the vendor. This places a heavy emphasis on web content, and one in which we are investing. Finally, our user conference, Progress Exchange 2013, begins in less than 2 weeks, and hundreds of our customers and partners will be descending on Boston for a week, where they will attend more than 75 educational sessions. We will also be presenting our future road maps, including exciting new products and functionality. I would now like to turn it over to Chris to provide more details about our third quarter, and then we will take your questions. Chris?
Chris E. Perkins: Thank you, Phil, and good afternoon, everyone. As a reminder, and consistent with our previous earnings calls, all of our financial metrics I will talk about today are related to our continuing operations and exclude results from the Apama and other product lines, that were divested in 2012 and 2013, which are reflected in the press release as discontinued operations for all periods presented. Total revenue for the quarter was $78 million compared to $74 million in Q3 2012. The overall growth was 4%, on both a constant and actual currency basis, and was at the high-end of our guidance range. We are pleased with our revenue growth in the third quarter, which is seasonally slower due to the summer holidays and also followed a very strong second quarter revenue performance. License revenue in the quarter was $26 million, up 13% from Q3 2012, on both a constant and actual currency basis. This license growth was achieved through strong performance by our OpenEdge application development partners in the Americas and our direct end-user clients in all regions. Maintenance and service revenue was flat for the third quarter compared to last year, with our maintenance renewal rates continuing to be above 90%. On a constant currency basis, we saw third quarter year-over-year growth of 6% in OpenEdge and while -- and while currently a relatively small portion of our revenues, 107% growth in Corticon revenues. DataDirect revenue decreased year-over-year by 25% as expected, due to timing of deal closures and recognition on multi-year OEM agreements. This follows a strong second quarter, in which DataDirect revenue grew 50% -- 57% over the prior year quarter. For our Q3 revenue by geography, North America was $35 million for the third quarter, flat to the same quarter a year ago, but up 8% year-to-date. EMEA third quarter revenues were $32 million, up 10% on constant currency and up 5% year-to-date. APJ revenues for the quarter were $5 million, up 18% on constant currency and up 6% year-to-date. In Latin America, revenues were $5 million, down 13% on constant currency and down 2% year-to-date. With 54% of our revenue stream outside of North America, we continue our cautious outlook due to macroeconomic uncertainty in some of the regions we operate. Non-GAAP operating margin in the third quarter was 28%, which was above our previous guidance range. This reflects total non-GAAP expenses of $56 million, down slightly from a year ago and down from $58 million sequentially from the second quarter of 2013. The net reduction in operating expenses is a result of our margin improvement initiatives in Q3, and in previous quarters, which was somewhat offset by higher expenses related to building our Pacific platform, which we launched in the third quarter. Our non-GAAP earnings per share from continuing operations was $0.27, compared to $0.19 in the third quarter of 2012, an increase of 42%. Cash flows from operations were a use of approximately $2 million for the quarter and included approximately $15 million in tax payments made for the gain on the Apama divestiture. Under GAAP, these tax payments are required to be reflected in cash flows from operating activities, while the gain on divestiture is reflected in cash flows from investing activities. Adjusting for the tax payments of the divestiture gains and the restructuring charges resulting from our margin improvement initiatives, cash flow from operations would have been $15 million for Q3 and $53 million year-to-date. Regarding our 100 million 10b5-1 plan launched in July of 2013, we repurchased 2.7 million shares, in the third quarter, at a cost of $68 million. Since the announcement of our strategic plan in April 2012, we have returned $326 million to shareholders through our repurchase of 14.8 million shares. Our total authorization is $360 million. The company ended the quarter with a strong balance sheet with ending cash, cash equivalents and short-term investments of $242 million and no debt. Net DSO from continuing operations for Q3 was 62 days, up 6 days from 56 days in Q2, but down 1 day from Q3 2012. The sequential increase in DSO was mainly driven by higher's number of deals closed and invoiced in the latter part of the quarter. As a result of the divestiture of Apama and our margin improvement activities, we ended the quarter with just under 950 employees, down from 1,100 at the end of the second quarter. Moving to our guidance for the fourth quarter, we expect quarterly year-over-year revenue growth to be between 4% and 6%. Also, consistent with our previous statements, we expect the non-GAAP operating margin for Q4 to be 35%. In summary, we are pleased with our Q3 financial results and remain confident in our strategy and our ability to execute on our internal plans for the fourth quarter. With that, I'd like to hand it off to Brian for the Q&A.
Brian Flanagan: Thank you, Chris. That concludes our formal remarks for today. I'd now like to open up the call for your questions. I ask that you keep your remarks to your primary question and one follow-up. I will now hand over to the operator to conduct the Q&A session.
Operator: [Operator Instructions] And we'll go first to Aaron Schwartz with Jefferies.
Aaron Schwartz - Jefferies LLC, Research Division: Looks like another good quarter. I guess I have a question as you lay out the growth strategy, not only for next quarter, but into next year. You spoke a lot about the Pacific platform, can you just walk through how that's sold? I know that's a silly question, but if it's sold into your existing customer base, as you gave the example, is it a separate SKU into that base or is there any sort of maintenance upgrade path to where they could expand the license to adopt Pacific? Or how are you going to go to market with this solution?
Chris E. Perkins: Sure, I'll make a comment on -- when we do sell it to an existing customer, it will be a separate contractual item. And it will be incremental to their existing license or arrangement that we have with them. So it will be a separate SKU, a separate product that will be provided to them under a separate contract.
Aaron Schwartz - Jefferies LLC, Research Division: So is there any overlap with OpenEdge? I mean with customers over time sort of migrate to Pacific only? Or would they still run both sort of platforms in tandem?
Philip M. Pead: Well, given that OpenEdge, today, is primarily an on-premise solution, the answer to that question is, this really extends the application beyond where they are on an on-premise environment to a cloud application development platform. So this, we see as a way for our existing OpenEdge customers to continue to -- because we will continue to release new versions of OpenEdge, they'll be able to continue to maintain and enhance their existing OpenEdge on-premise solutions. They'll be able to continue to sell new on-premise solutions because there are, as I said in my opening remarks, there's still a very large market for on-premise opportunities. At the same time, they'll be able to add new applications to their OpenEdge product or build new applications using the Pacific platform to take advantage of the -- of cloud technology. So we see this as, essentially, enriching their existing product line and being able to compete in the new cloud computing opportunities that we're seeing in the marketplace.
Aaron Schwartz - Jefferies LLC, Research Division: Okay, that's helpful. If I could sneak a follow-up question there. Chris, I think you alluded to, maybe, a slightly more cautious macro view in International regions. But the North American revenue has been down sequentially here for 2 straight quarters. I don't know if that's just the lumpiness of deal flow, but could you just comment on the Americas and, I guess, expectations there going forward?
Chris E. Perkins: Well, I think North America has actually performed -- again, they're up 8% year-to-date, as a region. So I think their performance has been pretty strong. So I wasn't surprised by the second quarter -- or the third quarter results being flat. Again, I'm very pleased with the performance that they've had. I think they performed well in the second quarter and we did see growth in that region. And we did expect -- and the other thing I'll just say, and I did make the comment that we did expect DataDirect to be down year-over-year in the second quarter -- in the third quarter versus last year, that was impacting the North America year-over-year revenue growth as well.
Operator: We'll move next to Scott Zeller with Needham & Company.
Robert Scott Zeller - Needham & Company, LLC, Research Division: Just, first, on the revenue guidance, I want to just be sure that I understand, we're talking about a 4% or 6% growth on $86.642 million from a year-ago period?
Chris E. Perkins: That would be correct, yes.
Robert Scott Zeller - Needham & Company, LLC, Research Division: Okay. And then I thought I recall hearing that with Pacific, that was going to be offered as a SaaS subscription, like ratable model, is that correct?
Chris E. Perkins: Yes, we will be offering it as that. But there are situations where a customer can desire to acquire it for a private cloud situation, and we'll look at the alternatives that they want to purchase that under. So it is primarily focused on being a subscription-based model in a public or private cloud environment.
Robert Scott Zeller - Needham & Company, LLC, Research Division: Okay. And then, building on Aaron's question from a moment ago, talking about North America. Is there anything with the ISVs that you can talk to us about? Because I think -- and specifically around North America, because you've mentioned that, that is a driver, as they refresh their use of OpenEdge, or upgrade, let's call it, that drives business. Is there something different about the ISV dynamic in North America versus the continent?
Philip M. Pead: Not that we've seen, Scott, that would be noteworthy for us to comment on. I will tell you that in all markets, we're seeing a great interest in the strategy that we laid out for everybody. They really have embraced the idea that we are continuing to build out the OpenEdge platform for on-premise, as well as DataDirect, of course, I don't want to keep mentioning just OpenEdge. But the Corticon application is very strong right now. That's predominantly a North America product. We've got the same kind of views that, in EMEA and APJ, that we see in North America, about taking advantage of the -- of cloud application technologies. So I could tell you that we're very excited about the reaction that we've gotten from our customers and we're looking forward to seeing so many of them in Boston in the next couple of weeks.
Robert Scott Zeller - Needham & Company, LLC, Research Division: And the last question is, with the launch of Pacific being very recent, do you have a view on when we would see material revenue contribution from Pacific?
Chris E. Perkins: We haven't given any guidance, as you know, for 2014. I will say that in our guidance for Q4, we don't -- we do not expect any significant contribution from Pacific for the fourth quarter. I expect we'll give some flavor, as we finish our fourth quarter, on how it's looking for the future.
Operator: Moving next to Steve Koenig with Wedbush Securities.
Steven R. Koenig - Wedbush Securities Inc., Research Division: I'd like to ask you, maybe, for a little more color on the strength around in the quarter, I guess, it looks like it was mostly around OpenEdge, partners in the Americas and direct end-users in all regions. Could you give us more color on that? And also, specifically, kind of how much of that is related to your earlier comment about customers modernizing their products to take advantage of the coming functionality, and maybe a little color around, what do you mean by that, exactly?
Philip M. Pead: Yes, sure. Let me kick it off and then Chris can add some comments. In order for our existing on-premise application, ISVs, OpenEdge in particular, to take advantage of some of the new functionally we're releasing, including, by the way, in the on-premise application itself, so OpenEdge, specifically, in order for them to take advantage of these -- of the new functionality that we're releasing, they need to upgrade from older versions. One of the issues that Progress has had is that there wasn't really a compelling reason for customers to upgrade. And when you look at the new functionality that we've released over the last 12 months, there's lots of stuff in there that our ISVs want to take advantage of, because it either makes their product more competitive, reduces their overall cost to go to market from their product perspective, and/or direct end-users can now start to add mobile apps, for example, to their existing applications that they have on-premise. All of these opportunities represent revenue opportunities for Progress. When you look at, now, extending the OpenEdge platform, or taking advantage of the DataDirect data access integration with Pacific, it gives, either the direct end-users or the ISVs, the opportunity of building out new applications now at a very -- at a very fast productive rate, so that they can satisfy their internal requirements for the direct end-users, for business users that have problems that they need to solve, or for ISVs that want to extend their application by offering a monthly subscription for an application that's an extension to their ERP, for example. And that's where we're seeing the excitement in some of the organic revenue growth that I mentioned in my prepared remarks.
Steven R. Koenig - Wedbush Securities Inc., Research Division: Okay. And then, maybe, if you could elaborate a little bit more on -- you gave the example of adding the mobile apps, what other areas of new functionally -- and then you gave the DataDirect, Pacific example, but maybe for on-premise OpenEdge, which sounds like we just saw the strength this quarter, what were some of the more important areas of new functionality that you see customers upgrading to take advantage of?
Philip M. Pead: Well, we had a number of solutions that I mentioned on previous calls. Data encryption was another area that -- of new functionality that we released. Disaster recovery replication was another area that folks are taking advantage of. All of these, of course, require them to upgrade their existing versions. And then, of course, there are user experience upgrades for the UI that they are taking advantage of to refresh their applications and make them look more modern. And then in the coming version releases that we have, we're going to be looking at improving our database performance, because we do have some very large direct end-users that are using OpenEdge to transact significant volumes and that we want to make sure that they don't to reach their limitations associated with that. So there's a lot of activity that's going on right now in our development organization to continue to improve the on-premise version of OpenEdge. No, it's a great question. Before we take the next one, I think I also should mention that even though DataDirect, it doesn't always come across as a -- from a revenue perspective in a positive linear fashion, it tends to be lumpy depending on when the contracts gets signed, it's also experiencing solid growth. Again, because of the expansion and, really, explosion of data sources, it gives us a great opportunity to market DataDirect. But integrating it into Pacific gives developers an opportunity to not have to worry about building out their data connections, they can do that at deployment with their application. That's a huge advantage for our developers as well.
Operator: We'll move next to Mark Schappel with Benchmark.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Most of my questions have been answered, but just a couple here. Chris, starting with you, I was wondering if there are any lingering stranded costs in fiscal Q4 associated with Apama?
Chris E. Perkins: We've actually made great progress on the reduction of our stranded cost. So we've made significant progress there. I think there are some minor, or not significant, but some stranded cost that will continue to see exit in Q4. But we made substantial progress as we went through the first 3 quarters. And some of those took place, if we didn't get the full benefit or impact in the third quarter, but we should see the benefit in Q4.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay, great. And Phil, last quarter, I believe you called out several deals that were initially forecast to close in August but they got pulled forward a quarter. I was wondering if you saw a similar phenomena this quarter to that extent?
Philip M. Pead: No, I think this quarter was pretty straightforward. Very pleased with the strength of the business, so far. And our Q4 is based on the projections that we're seeing is shaping up, also, to be pretty strong.
Operator: [Operator Instructions] We'll go next with Greg McDowell with JMP Securities.
Greg McDowell - JMP Securities LLC, Research Division: 2 quick questions. First, I'm trying to anticipate some of the big announcements that may come out of the Exchange user conference in a couple of weeks. And Phil, one word you used that piques my interest was JavaScript. Could you just expand on what you mean, in terms of the platform, both OpenEdge and Pacific, supporting JavaScript versus ABL?
Philip M. Pead: You bet. So as I mentioned, ABL has been somewhat of an impediment, not because it's not a great language, it's just that, as I mentioned, it's become less popular over the years, and other languages have been released in the marketplace and they've all had varying success, probably Java, JavaScript, having the biggest success. What we really are trying to do with Pacific is to give developers an opportunity to use the Rollbase point-and-click, browser-based environment for them to build their application, to solve, either a direct end-user issue or to offer an ISP to build a cloud-based application using our Pacific platform. Rollbase will enable them to do that. Now if, as they build out that -- the product using our Rollbase environment, they need to add some specific functionality to the application. They can take advantage of -- if you're an ABL programmer, you can write ABL to do that, specifically, to basically enhance some complexity to the Rollbase platform. Or you can use JavaScript. So that opens up now a whole new world for us for application developers that are not restricted to the knowledge of ABL, that Progress had essentially with the on-premise OpenEdge application. That's what -- has been something that we've been working on for quite a period of time here to give people an option. You can also use Pacific. In future releases, we're going to be able to enable application developers to generate ABL code from the Pacific platform, again, to enhance the functionality of their product. So while we believe that Rollbase, based on the templates and artifacts that we will provide to those developers, to enable them to build out their product really quickly, if they want to customize it still further, they have the option now of going with either ABL or JavaScript, depending on what they know and what they're familiar with.
Greg McDowell - JMP Securities LLC, Research Division: And one quick follow-up. Will Progress Pacific, as a separate SKU, be a required product for your customers to mobile-enable OpenEdge and cloud-enable OpenEdge? And just as a follow on, if you could maybe give us a sense for what percentage of the customer base has cloud-enabled their platforms, so far, or their OpenEdge platforms, so far? And what percentage of the customer base has mobile-enabled the platform, so far?
Philip M. Pead: For the mobile-enabled environment, they will have an either/or situation. They can absolutely enable their applications developed in OpenEdge to take advantage of native mobile technology that we have integrated into the OpenEdge platform. And so essentially, they won't need to do anything other than opt for the mobile application within their OpenEdge upgrade. However, I think the distinction that needs to be made here is that we really want -- in 2014, part of our go-to-market strategy is for everybody to use the Pacific platform. So all existing customers, whether they're on-premise or whether they're building cloud applications, we would like to sell them Pacific. That way, they can get all their applications, whether it's on-premise or whether that's cloud-specific, whether it's a mobile device, whether it is a browser application, all of those applications can be accessed through Pacific. That was my point on cross-selling. Today, Progress is very single solution focused. We have a -- I would say, I don't know what the exact percentage is, but it's a very high number of customers that have purchased just one solution from Progress. Most of the time, it's because they are unaware of the other solutions that we're offering because that was our go-to-market strategy. When somebody a Rolls engine from us, it's for a specific problem they're trying to solve. But they're unaware of all other opportunities we have to solve some of their problems. If they purchase Progress Pacific or sign-up for a free trial, they will be able to see all the other solutions that we offer. They will be enabled to use the solution that they bought, either for a license or for a subscription price. And then they'll be able to take advantage if they look at the other applications or the other solutions that we offer in the platform and they want to take advantage of that. Or we can cross sell back to them, they'll be able to use the same platform, the same user experience to access these additional solutions. So over time, you'll see that everything will come through the Pacific platform and the there won't be single solutions being purchased outside of that. They'll be able -- we'll enable the solution to the seen and used within the Pacific platform and then the other solutions that they have not purchased, will still be visible to them, but they will not to be able to enable them until they pay for it. And we think this gives our sales organizations and our web content folks, as we go to the market through the web, an opportunity to do something that we're not doing today, which is to really take advantage of cross selling opportunities.
Operator: [Operator Instructions] And at this time, we have no further questions. I'll turn it back to you all for closing remarks.
Brian Flanagan: Thank you, all, for joining the call today. As a reminder, we plan on releasing financial results for our fiscal fourth quarter of 2013 on Thursday, January 9, 2014, after the financial markets close and holding the conference call the same day at 5:00 p.m. Eastern Time. We look forward to speaking with you, again, soon. Have a good day.
Operator: Again, that does conclude today's conference. Thank you, all, for joining us.